Operator: Good afternoon. Welcome to Tigo Energy Fiscal Second Quarter 2025 Earnings Call. [Operator Instructions] Joining us today from Tigo are Zvi Alon, CEO; and Bill Roeschlein, CFO. As a reminder, this call is being recorded. I would now like to turn the call over to Bill Roeschlein, Chief Financial Officer. Sir, please go ahead.
Bill Roeschlein: Thank you, Michelle, and it's a pleasure to join you today. Also with us is Zvi Alon, our CEO. We'd like to remind everyone that some of the matters we'll discuss on this call, including our expected business outlook, our ability to increase our revenues and achieve and maintain profitability and our overall long-term growth prospects expectations regarding a continued recovery in our industry, statements about demand for our products; our competitive position and market share, the impact of tariffs, our current and future inventory levels, inventory supply and its impact on our customer shipments. Statements about our revenue, adjusted EBITDA and GAAP operating results for the third fiscal quarter of 2025 and our revenue and adjusted EBITDA for the full fiscal year 2025, statements about our existing backlog and bookings, statements about our ability to restock inventories and increase our capacity in response to increased demand. statements about our ability to refinance our outstanding indebtedness and the expected benefits thereof. Our ability to penetrate new markets and expand our market share, including expansion in international markets and investments in our product portfolio are forward-looking. And as such, are subject to known and unknown risks and uncertainties, including, but not limited to, those factors described in today's press release and discussed in the Risk Factors section of our most recent annual report on Form 10-K, our quarterly report on Form 10-Q for the fiscal quarter ended June 30, 2025, and other reports we may file with the SEC from time to time. These risks and uncertainties could cause actual results to differ materially from those expressed on this call. These forward-looking statements are made only as of the date when made. During our call today, we will reference certain non-GAAP financial measures. We include non-GAAP to GAAP reconciliations in our press release furnished as an exhibit to our Form 8-K. The non-GAAP financial measures provided should not be considered a substitute for or superior to the measures of financial performance prepared in accordance with GAAP. Finally, I would like to remind everyone that this conference call is being webcast and a recording will be made available for replay on Tigo's Investor Relations website at investors.tigoenergy.com. With that, I'd like to now turn the call over to Tigo's CEO, Zvi Alon. Zvi?
Zvi Alon: Thank you, Bill. To begin today's discussion, I will highlight key areas in our recent financial and operational performance before turning the call over to our CFO, Bill Roeschlein. He will discuss our financial results for the second quarter in more depth as well as provide our guidance for the third quarter and increased financial guidance for the full year of 2025. After that, I will share some closing remarks, tell you about our outlook, and then open the call for questions from our analysts. Approximately 2 years ago, Tigo became a public company and although the industry has had to endure some unexpected circumstances along the way, we believe that the value proposition that Tigo brings to this market has not changed. Competitor solutions have historically forced solar system designers and installers to compromise under the 1 size fits all umbrella. These compromises often led to solar installations that are less efficient, less flexible, less reliable and more expensive than open systems, open architecture solutions that Tigo enables. Our MLPE enables solar system designers to install flexible, best-in-class solar systems without the need to accept compromises such as power clipping, low energy conversion, efficiencies and high costs. We believe our value proposition in this market has not changed and that the growth we are experiencing in a challenging market is evidence that our market share is increasing and sustainable. For the second quarter of 2025, I'm pleased to report our sixth increase in sequential quarterly revenue growth, growing 27.7% sequentially and 89.4% on a year-over-year basis. Exceeding the high point of our second quarter guidance, we ended the quarter with a total of $24.1 million and our existing backlog and bookings that are expected to ship in the third quarter currently exceed our revenue results for the second quarter and we are ramping up capacity. In addition, we shipped 646,000 units or 477 megawatts of MLPE and based on publicly reported figures and estimates, we believe these figures represent increased market share gain for Tigo during the quarter. I'm also pleased to report $1.1 million in positive adjusted EBITDA and an increase in cash, cash equivalents and marketable securities of $7.7 million for the quarter. This performance underscores the leverage in our operating model as we grow the company while maintaining spending discipline with operating expenses. Finally, we look ahead to the second half of 2025 and into 2026. We are excited about our product road map and expect to make several new product announcements in the future. And with that, I will turn it over to Bill. Bill?
Bill Roeschlein: Thank you, Zvi. Turning now to our financial results for the second quarter ended June 30, 2025. Revenue for the second quarter of 2025 increased 89.4% to $24.1 million from $12.7 million in the prior year period. As Zvi mentioned, this represents significant growth in a challenging market. On a sequential basis, revenues increased 27.7% with improved results coming from many countries in the EMEA region, including Germany, the Czech Republic and Poland. By region, EMEA revenue was $18.3 million or 75.9% of total revenues. Americas revenue was $4.6 million or 19.1% of total revenues and APAC revenue was $1.2 million or 5% of total revenues. By product family, the second quarter of 2025 had MLPE revenue representing $20.6 million of revenue or 85.7% of total revenues. GO ESS represented $2.3 million or 9.4% of total revenues and Predict+ and licensing revenue represented $1.2 million or 4.9% of total revenues during the quarter. Gross profit for the second quarter of 2025 was $10.8 million or 44.7% of revenue compared to a gross profit of $3.9 million or 30.4% of revenue in the comparable year ago period. During the quarter, gross margins benefited by 450 basis points from the sale of reserved GO ESS inventory. Operating expenses for the second quarter were flat at $12.3 million compared to the prior year period. Operating loss for the second quarter decreased by 82.1% to $1.5 million compared to $8.4 million in the prior year period. GAAP net loss for the second quarter was $4.4 million compared to a net loss of $11.3 million for the prior year period. Adjusted EBITDA for the second quarter was $1.1 million compared to an adjusted EBITDA loss of $6.4 million in the prior year period. These results reflect a combination of strong top line performance and the operating leverage in our business model. As a reminder, adjusted EBITDA is a non-GAAP measure that represents net loss as adjusted for interest and other expenses, net income tax depreciation and amortization expense, stock-based compensation and M&A transaction expenses. Primary shares outstanding were 62.3 million for the second quarter of 2025. Turning to the balance sheet. Accounts receivable net remained consistent at $10.4 million between the first and second quarter and increased from $6.9 million in the year ago comparable period. Inventories net were sequentially flat at $18.9 million at the end of the second quarter compared to $51.3 million in the year ago comparable period. At this point, we have largely resolved our excess inventory balance and our revenue capacity with our contract manufacturers to address increasing demand. Cash, cash equivalents and short and long-term marketable securities totaled $28 million at June 30, 2025. On a sequential basis, cash increased by $7.7 million. Turning to short-term debt. The gross amount of our convertible debt, which will mature in January of 2026, totaled $50 million at quarter end. We continue to evaluate refinance options on the debt and are engaged in discussions with certain parties regarding a refinance or other transactions to facilitate payment or other resolutions in light of its upcoming maturity. We are looking at a combination of alternatives that will support the company's growth and maximize value. We believe that the improvement in our financial performance this year will enable us to address our convertible debt on terms that will be beneficial to all stakeholders including our shareholders, and we will apprise you when we have more to announce. Turning now to our financial guidance for the third quarter of 2025 and increased financial guidance for the full year of 2025. As a reminder, Tigo provides quarterly guidance for revenue as well as adjusted EBITDA as we believe these metrics to be key indicators for the overall performance of our business. For the third quarter of 2025, we expect revenues and adjusted EBITDA to be in the following range. We expect revenues in the third quarter ended September 30, 2025 to range between $29 million and $31 million. As Zvi noted, the existing backlog and bookings that are expected to ship in the third quarter currently exceeds our revenue results for the second quarter and we are replenishing inventories and increasing capacity in response to increased demand. We expect adjusted EBITDA to range between $2 million and $4 million. Our guidance also incorporates GAAP operating profitability at the high end of the adjusted EBITDA guidance range. Based on our current demand forecast, we are raising our 2025 financial outlook for the full year and now expect revenue to be between $100 million and $105 million. That completes my summary. I'd like to now turn the call back over to Zvi for final remarks. Zvi?
Zvi Alon: Thanks, Bill. We look ahead I'm happy to say that even against the backdrop of continued economic uncertainty, we believe that our track record of 6 consecutive quarters with top line growth will continue for the remainder of 2025 as demand for our solutions business, and look forward to providing additional updates in the coming quarters. With that, operator, please open the call for Q&A.
Operator: [Operator Instructions] The first question comes from Philip Shen with ROTH Capital Partners.
Philip Shen: Guys, great execution there. Wanted to see if you could provide a little more color on how margins might trend in Q3 and Q4. And then do you have a view on 2026 yet? Or is it still too early?
Bill Roeschlein: So we -- for the balance of the year, we expect to be in the low 40s as we are presently -- and we expect to be mostly depleted from any of the reserved GO ESS inventory that is being sold off by the end of the year for the most part. As you already know, our target model is up 40% on the gross margin, and that is where we have performed the last time we started getting into this revenue geography. And so that's how I would think about the business as I look into 2026. Currently, as it stands, we're seeing solid growth trajectory here. It's obviously -- we're not providing guidance on this call to date related to 2026. But we're seeing some positive trends out there.
Philip Shen: And sorry if I missed this as I'm bouncing between earnings. Can you share what the international and U.S. revenue split was for Q2 what you expect it to be for Q3? And then any color you can provide for 2026. Do you expect that SKU or mix to shift meaningfully maybe perhaps to Europe more so than the U.S. as we get into the next calendar year?
Bill Roeschlein: Sure. So for Q2, we had U.S. rose 17% of total revenues. And for the last 6 months, it was trending a little bit under 20%. So 80% of our revenue is coming from outside of the U.S. market. And with the EMEA region representing 65% to 75%. We would expect that trend to continue. I think the conventional wisdom is that the U.S. will shrink next year more so than being -- that it has this year with obviously the new congressional bill. But we're seeing a lot of traction in the international market -- international front. That said, even with what other competitors may be seeing, our results in the U.S. market have been fairly stable, actually. We've been successful in the longer tail of that market. And we are a smaller player. And so we have the ability to pick up share and gain growth that way.
Philip Shen: Thanks, Bill. Go ahead, Zvi.
Zvi Alon: No, no I'm fine. Bill covered it pretty much. And our exposure to the slowness here in the U.S. is not severe.
Operator: And our next question comes from Amit Dayal with H.C. Wainwright.
Amit Dayal: I With respect to the EBITDA outlook, Bill, for the year, should we assume we can potentially end the year positive EBITDA this year?
Bill Roeschlein: I think that would be expected that we would have a positive EBITDA year at this point, yes.
Amit Dayal: Okay. And then you said the U.S. is potentially slowing next year. In that context, do you think there is enough sort of strength in demand to make up for any sort of gaps in -- from the U.S. side from the international markets?
Bill Roeschlein: So what's interesting about, I think, that question or situations that we -- there's been changes with the congressional bill and whatnot. But -- we haven't had 45x credits. We haven't had domestic production. We haven't been able to take advantage of that situation. We -- there's a couple of really large ABLs that we haven't been on -- and we've been able to achieve our success through the longer tail of the market and gain share that way. And so I think that there's a little bit less hurt to be had by players like us as we kind of approach the market and go to market that way in the U.S. as opposed to those who already have dominant share and may have benefits that are being taken away by the new BBB bill. So that's why I think we've seen stable, steady growth achievement here in the U.S. market. And I think there's certain actions that were -- certain pockets of the market that we're going after. We recently talked about the repower market. We did a PR on that recently. And so even in a challenging market or a declining market, we're able to pick up share and grow that way. And so that's what we're seeing currently. And I think that we can grow even if the market shrinks in the U.S.
Amit Dayal: Yes. Because I was just trying to see if the U.S. market doesn't deteriorate too much or less than maybe what you think next year, that could provide additional upside to what you may already be sort of looking at for how next year is set up for you.
Zvi Alon: That is absolutely 100% correct. We are holding our position as we speak right now despite the challenges. And as Bill said, we are not the biggest fish in that market, but we are capturing areas where it's harder for the other guys to capture. And so therefore, not only are we maintaining our position, but we are growing market share.
Amit Dayal: Okay. Just last 1 from me, guys. So as your revenues are starting to improve sequentially from here, how should we think about any operating cost increases. I know you indicated there is -- looks like more room for operating leverage. But from a cost perspective, do you think we should just maintain our expectations to the current levels?
Bill Roeschlein: So you can see we plan to maintain operating expense discipline on a noncash basis, stock comp did go up a little bit as reflected in the EBITDA reconciliation, and that may cause the OpEx number to drift a little bit higher than where some models may indicate. But the cash OpEx is going to be slightly up with growth, but relatively flat. So it's definitely going to be much less than 50% of any growth that we see next year.
Operator: [Operator Instructions] The next question comes from Eric Stine with Craig-Hallum Capital Group.
Eric Stine: So maybe, I mean, clearly, great trends in Europe, and it looks like market share gains are kind of the predominant factor. But -- just would love to get a more detailed breakdown of your thoughts on those market share gains versus a recovery in some of the key markets you mentioned. You mentioned Poland, you mentioned the Czech Republic, I guess I'm missing another one, on Germany. Maybe where you stand in the recovery in those markets as well.
Bill Roeschlein: So in Germany, Germany was a very significant strong performer. It has been recovering for us with sequential growth for multiple quarters now. The Czech Republic has been coming from a smaller base, but it's now been also growing substantially. That's a market where there isn't any duopoly. It's a fragmented market. It's a great market for us to be able to participate and take share in. And Poland is a similar situation. where it was very strong coming into the mid-2023 area. It's shrunk a lot. I think for all participants players in the market. And as of late, that actually was a big contributor in the quarter, and it's been relatively quiet up until this point. Italy and United Kingdom are the players that you didn't really mention but they are performing very well from a macro renewable perspective. there's other pockets of Europe that I haven't mentioned, the countries. And those are probably countries that have yet to really come into a growth curve on their own. So Netherlands, you've mentioned -- I've mentioned that a somebody doesn't seem like it's been recovering at the same pace as these other countries.
Zvi Alon: I would like to highlight also that we have stated it in the past multiple times. One big differentiator that our products provide the market is we're segment -- we're not dependent on any 1 specific segment. So residential, C&I or utility scale use the same exact identical SKU, the same product. So if there are any witnesses, let's say, in Germany, in 1 segment versus the other, we are less impacted. Similarly, in the Czech Republic, we see an increase in the residential or the large utility scale. Others cannot react to it as quickly as we. We are just naturally there because it's the same product, it works across the board. Now I can tell you that the behavior of the different markets is not identical. And that's what really positions us to be much stronger, and therefore, we are grabbing market share from others.
Eric Stine: Got it. That's helpful. And then, I mean, obviously, market share gains and as you kind of increase the capture rate that you might have with some of your distributors. I mean, do you mentioned open architecture. I mean, do you attribute it -- how do you kind of attribute the breakdown? Is it that? Is it efforts on your part to drive awareness, drive that increased penetration with those distributors? Maybe talk about that.
Zvi Alon: So yes, we -- first of all, more people know about us and the value proposition. So it becomes a bit easier. With the distribution, we did not add any 1 significant distributor to our distributors globally and they are all long time with us, have been with us for quite some time. So we are doing various plans and programs, executing marketing progress with them to improve our footprint within the space -- and simultaneously, we are taking action to spend some energy with the installers themselves to try and actually get a bit more comfortable and educated about our solutions. So combination of these 2 efforts which are resulting in the increase that we see in the market. Our peak business is very high, not just through distribution but also with existing customer installers.
Operator: At this time, I am showing no further questions in the queue. And I would like to turn the call back over to Mr. Alon for closing remarks.
Zvi Alon: Thank you. At this time, this concludes the question-and-answer session. I'd now like to turn the call back to Mr. -- to myself. Okay. Thanks again, everyone. -- for joining us today. I especially want to thank our dedicated employees for their ongoing contribution as well as our customers and partners for their continued hard work. I also want to thank the investors for their continued support. Operator?
Operator: Thank you for joining us today for Tigo's Second Quarter 2025 Earnings Conference Call. You may now disconnect.